Operator: Hello, and welcome to the Greenbrier Companies Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] At the request of the Greenbrier Companies, this conference call is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Justin Roberts, Vice President of Financial Operations, the Americas. Mr. Roberts, you may begin.
Justin Roberts: Thank you, Megan. Good afternoon and evening, everyone, and welcome to our fourth quarter and fiscal 2025 Conference Call. Today, I am joined by Lorie Tekorius, Greenbrier's CEO and President; Brian Comstock, Executive Vice President and President of the Americas; and Michael Donfris, Senior Vice President and CFO. Following our update on Greenbrier's record-setting 2025 performance and our outlook for fiscal '26, we will open up the call for questions. Our earnings release and supplemental slide presentation can be found on the IR section of our website. Matters discussed on today's conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results in 2026 and beyond to differ materially from those expressed in any forward-looking statement made by or on behalf of Greenbrier. We will refer to recurring revenue throughout our comments today. Recurring revenue is defined as leasing and fleet management revenue, excluding the impact of syndication activity. Finally, Greenbrier will be participating in the following conferences over the next few months. The Stephens Annual Investment Conference on November 19, the Goldman Sachs Industrials and Materials Conference on December 4 and the Susquehanna Virtual Freight Forum on December 10. And with that, I'll hand the call over to Lorie.
Lorie Leeson: Thank you, Justin, and good afternoon, everyone. I appreciate you joining us today. A strong finish in the fourth quarter made fiscal 2025 Greenbrier's best year yet. We achieved record full year diluted earnings per share and delivered record core EBITDA, supported by disciplined execution across our business. Our aggregate gross margin was nearly 19%, and Greenbrier generated more than $265 million in operating cash flow. We also achieved a return on invested capital of nearly 11% within our long-term target range. These results reflect our team's resilience and the strength of disciplined execution paired with efficient operations. We're seeing the tangible results of the transformation we set in motion nearly 3 years ago, with key long-term performance goals being realized. Greenbrier today is a stronger, more agile organization, a business better positioned to deliver performance across market conditions as proven by our record financial results for 2025 on 2,000 fewer deliveries than in fiscal 2024. Strong operating performance in manufacturing led to healthy margins and our network is operating with greater efficiency, precision and alignment than ever before. Process improvements, balanced production lines and disciplined cost control have driven sustained expansion in manufacturing margins. Our flexible manufacturing capacity allows us to rapidly respond to changes in demand and maximize operating efficiency. Our in-sourcing capacity expansion in Mexico is effectively complete and the full value of the initiative will be realized as production scales through 2026 and beyond. Likewise, we continue to drive overhead efficiencies throughout our global manufacturing network. This agility and responsiveness are a competitive advantage for Greenbrier. In Europe, we continue to unlock efficiencies through ongoing footprint rationalization driving cost savings and developing a more competitive and responsive platform for the region. As we announced today, we're proceeding with the closure of 2 additional facilities. Combined with our previously announced actions, we expect annualized savings of $20 million from this footprint rationalization. I should note that these actions and savings will not impact our European production capacity. Rather, they position Greenbrier to sustain higher margins in varying demand environments. The steady growth of our Leasing & Fleet Management business has been an important contributor to our performance. Our lease fleet continues to perform exceptionally well with high utilization rates and strong renewals. We've maintained a disciplined approach to growth and are on track to meet our goals of doubling recurring revenues by fiscal 2028. Our capital allocation framework remains focused and disciplined. We deploy capital where returns are strongest while maintaining balance sheet strength and liquidity. This prudent approach and a strong liquidity position support our ability to fund strategic priorities while delivering attractive returns to shareholders. The growth of our recurring earnings, combined with our strong manufacturing provide a durable recycle foundation for Greenbrier. Integration is a defining feature of our model. Manufacturing generates efficiencies and scale and leasing provide stability. And together, they create an earnings base that differentiates Greenbrier. The operational progress and recurring earnings we've built into our business means that Greenbrier now operates at a structurally higher level of resilience. Our results this year clearly demonstrate that our efficiency and lease fleet growth initiatives have raised the baseline of our performance and position us to achieve what I described as higher lows. Today, we are well positioned to continue generating cash flow, financial performance and shareholder value for years to come. Our fiscal 2026 guidance reflects this improved foundation. Our model is designed to perform with durable returns and the flexibility to respond to market demand. Looking ahead, we remain committed to operational excellence, innovation and responsible growth. In closing, I want to recognize our employees, customers and shareholders for their trust and partnership. Fiscal 2025 was a milestone year for Greenbrier, setting the stage for continued momentum into the year ahead and beyond. And with that, I'll turn the call over to Brian.
Brian Comstock: Thanks, Lorie, and good afternoon, everyone. Greenbrier delivered exceptional performance in fiscal 2025. In addition to the record financial results already mentioned, we maintained consistent execution during the year and our gross margin improved from the actions we've taken over the last 2 years to enhance our production efficiency. Many of these improvements are structural and are continuing to deliver benefits. We view the near-term market conditions as an opportunity to intensify our focus on production layout, process improvements, cost reduction initiatives and optimization projects ahead of a production ramp-up anticipated later this year. While demand is an external factor, we remain relentlessly focused on improving operating efficiencies and reducing costs. In Q4, Greenbrier received approximately 2,400 new railcar orders valued at more than $300 million, bringing full year orders to more than 13,000 units. We closed the year with a backlog of 16,600 units valued at $2.2 billion. This backlog reflects a healthy mix of product types and customers demonstrating our market leadership. As a reminder, programmatic railcar restoration work is excluded from these figures. This work bolsters manufacturing margin and it's performed on approximately 2,000 to 3,000 units annually. We continue to focus on order quality with activity that supports efficient production scheduling and sustained attractive margins. Our commercial team has done an excellent job navigating a complex operating environment. In North America, freight trends and tariff dynamics are moderating new railcar demand, leading many fleet owners to extend acquisition time lines. I think it's worth reiterating what Lorie mentioned earlier, we achieved record earnings despite operating in a modest market for new railcar demand. In my 27 years at Greenbrier, earning more than $6 per share in a 30,000 car build year seemed unlikely until now. This is a clear reflection on how this leadership team has evolved and what it's capable of achieving. Across our global businesses, we are focused on optimizing our manufacturing footprint and driving additional cost efficiencies. In Europe, ongoing footprint actions are expected to yield about $20 million in annualized savings. Leasing & Fleet Management delivered another solid year. Recurring revenue reached nearly $170 million over the last 4 quarters, representing almost 50% growth from our starting point of $113 million just over 2 years ago. Our lease fleet grew by about 10% in fiscal '25 to just over 17,000 units with high fleet utilization at 98%. The fleet remains diversified by car type, lease term and customer. In fiscal '26, 10% of our leased railcars are up for renewal, and we've already renewed 1/3 of those units at substantially higher rates. We're building a balanced railcar portfolio through discipline and selectivity and we see opportunities to accelerate fleet investments in the medium to long term. Our lease fleet debt facilities, including the warehouse credit facility, senior term debt and asset back term notes are structured as nonrecourse obligations. They are prudently aligned with current needs and support growth at an average interest rate in the mid-4% range, well below prevailing market rates. These facilities provide stability, flexibility and efficient access to capital. Greenbrier enters fiscal '26 with backlog visibility, a disciplined commercial pipeline and an operating platform designed for consistencies. Our teams remain focused on sustaining execution, optimizing mix and maintaining the balance between manufacturing and leasing which has proven so effective. As Lorie noted, the transformation of our business has positioned Greenbrier to deliver more stable outcomes through the cycles. The commercial organization is fully aligned with that goal, pursuing opportunities that enhance the through cycle of earnings, strengthen relationships and extend our competitive advantage. We are confident in our near-term performance and long-term outlook. Our experienced leadership team has consistently demonstrated the ability to successfully manage through market cycles. We remain focused on steady execution and sustained performance as we advance our strategic plan. The progress we've achieved meaning or surpassing every target we have put forward reflects the expertise, commitment and teamwork of Greenbrier employees worldwide. I'm deeply appreciative of their efforts and proud of what we continue to accomplish together. And with that, I'll hand the call over to Michael.
Michael Donfris: Thank you, Brian. Greenbrier's momentum carried through the fourth quarter, driven by strong operational performance and meaningful progress on our strategic priorities. We delivered record profitability through effective cost management and disciplined execution. These results position us well entering fiscal 2026. Fourth quarter revenue was nearly $760 million, in line with expectations, enabling us to meet our full year revenue guidance. Aggregate gross margin for the fourth quarter was 19%, an improvement of 90 basis points sequentially. This was driven by stronger operating performance at our Mexico facilities, favorable foreign exchange from a stronger Mexican peso and disciplined manufacturing execution. These gains were partially offset by a $3 million impact related to our European footprint rationalization. Notably, this marks the eighth consecutive quarter in which we've met or exceeded our mid-teens gross margin target. Operating income was $72 million, nearly 10% of revenue and this was partially impacted by $6 million in our European footprint rationalization. Our effective tax rate of 36.4% above -- was above both our prior quarter and our full year structural rate of about 28% to 30%. This was primarily due to jurisdictional income mix. Core diluted earnings per share was $1.26 and core EBITDA for the quarter was $115 million or 15% of revenue. For the 12 months ending August 31, 2025, our return on invested capital was nearly 11% and continues to be within our 2026 target of 10% to 14%. Shifting our focus to the balance sheet. Greenbrier's Q4 liquidity level was the highest in 10 quarters at over $800 million, consisting of more than $305 million in cash and almost $500 million in variable borrowing capacity. We generated nearly $98 million in operating cash flow for the quarter and delivered positive free cash flow for the year, driven by strong operating performance and working capital efficiencies. Liquidity remains robust, supported by solid operations, continued improvements in working capital and expanded borrowing capacity. On debt specifically, we updated our financial statements and disclosures to clearly distinguish between our leasing debt, which is nonrecourse and the rest of our business. This additional disclosure should help us clarify metrics and performance as we grow our lease fleet and nonrecourse debt. Now switching to capital allocation. We are committed to responsibly returning capital to our shareholders through a combination of dividends and stock buybacks. Greenbrier's Board of Directors declared a dividend of $0.32 per share. This is our 46th consecutive quarterly dividend and reflects our confidence in our business. Additionally, during fiscal 2025, we repurchased about $22 million in shares, leaving $78 million remaining in our share repurchase authorization. We will access the capacity opportunistically during the fiscal year and within the framework of a broader capital allocation strategy. With a resilient business model and strong balance sheet, we're positioned for continued performance and long-term value creation. Our guidance for fiscal 2026 is as follows: New railcar deliveries of 17,500 to 20,500 units, including approximately 1,500 units from Greenbrier Maxion in Brazil. Revenue is expected to be between $2.7 billion to $3.2 billion. We expect aggregate gross margin between 16% and 16.5%. Operating margin is expected to be between 9% and 9.5%. I will point out that included within our guidance is a reduction in SG&A of about $30 million versus fiscal 2025. Earnings per share will be between $3.75 and $4.75. For capital expenditures, we expect investment in manufacturing to be approximately $80 million and gross investment in Leasing & Fleet Management of roughly $240 million. Proceeds from equipment sales and -- are expected to be around $115 million, resulting in net capital investment around $205 million. With our strategic goal of investing up to $300 million to grow our lease fleet each year, we plan to continue to look for opportunities to increase this investment. This year, our team delivered record earnings and the highest liquidity in 10 quarters, while continuing to execute our long-term strategy to strengthen the business ahead of the next growth phase. We remain focused on consistent execution and disciplined capital deployment with strong financials and operating excellence, we're well positioned to navigate near-term market conditions and drive long-term shareholder value. And now we'll open it up for questions.
Operator: [Operator Instructions] Our first question comes from Ken Hoexter with Bank of America.
Ken Hoexter: So just looking at the outlook, right, so you're starting off at 17,500 to 20,500 cars down from 21,500 this year. At earlier in the Industry Conference at the start of this year, the expectation was car builds are going to be lower for the next few years. Maybe just your insight on the backdrop in the market. Your anticipation of if Europe can help offset that? And is this -- we just heard from another company, I guess, a locomotive manufacturer last week that the expectations are down 30%, 40% for car builds into next year based on industry stats. Can you just talk about what's going on in the backdrop and how you can kind of make up for that?
Brian Comstock: Yes. Ken, it's Brian. I'll take a stab and maybe Lorie can color in around in around the edges. At the end of the day, when we look at -- we think we're -- if you look at the cycle, we think we're at the low point of the cycle right now and our inquiries are getting substantially more robust. We are forecasting bringing back some product in the back half of the year. And keep in mind that we made a material shift in the way that we think about this business a couple of years ago when we pivoted to utilizing some of our manufacturing space for programmatic railcar restorations. These are large programs that were typically done at repair shops in a very inefficient manner. And they have offset a lot of the degradation that we've seen over the last couple of years in backlog, and we continue to see that building as a partial offset. But we also think the market is a bit stronger than what a lot of people are predicting, particularly when you think about the tank car side of the world and the market and what we're seeing with some resurgence in oil demand as well as just upstream and downstream chemicals and replacement.
Lorie Leeson: Let me just say -- I think you said it really well, Brian. While we see green shoots coming in our markets, the interesting thing [ to think ] about what we have done here at Greenbrier is deliveries and backlog is an important metric, but it's not the only metric that's driving our financial results and our cash flow. So we're really proud of how the team is putting up great performance and results even in a more modest background.
Ken Hoexter: Great. And then you noticed at the -- noted at the beginning of the call, something was done in Mexico. I just didn't hear what you said. Can you explain what's going on? And I just want to understand within that, right, given the tariffs, what has been the impact on whether it's cost of inputs, pass-through of costs? Maybe just take a minute on what's going on. But if you could start with what you had noted, you had done or changed or improved in Mexico. I missed that.
Lorie Leeson: Sure, Ken. So this is -- actually, I think we announced it at our Investor Day a couple of years ago, where we embarked on a journey to invest in our facilities in Central Mexico for in-sourcing because as we ramped up demand, we realized that we were having to go further and further to source significant components. So we've wrapped up the in-sourcing project this year, and it has been providing benefits to our financial results, our manufacturing and aggregate gross margin over the last couple of years and we expect that to continue for many years to come.
Brian Comstock: Yes. I'd just add on to what Lorie said is our charter has been taking cost out of the business for the last couple of years, along with the in-sourcing investment, we've really been focused on taking hours out of our units and reducing cost overall, which provides us a bit of lift in softer markets.
Ken Hoexter: And any thoughts on the tariff implications?
Brian Comstock: No. On the tariff side, I just want to remind everybody that we take pride in the way that we construct our contracts. We feel like we're pretty well protected in our contracts just depending on which way they go. The U.S. footprint is also an important strategic part of what we've always maintained. And so we have some ability to pivot in the event that there are some substantial changes. And then again, we continue to work with our colleagues on the [ Hill ] to really find balance in these negotiations as they're -- they seem to ebb and flow every day.
Ken Hoexter: Okay. And if Bascome can indulge me for 1 or 2 more. Just you mentioned after closing 2 facilities, how many did you have in Europe? And what are you down to?
Lorie Leeson: We had 3 facilities in Romania and 3 in Poland. So now we will be down to a total of 3 facilities, 2 in Romania and 1 in Poland.
Ken Hoexter: Okay. Are you done with the rationalizations at this point do you think? Or have you -- is that just consolidating production? Or is it reduced activity?
Lorie Leeson: Actually, Ken, what is really great about this. And if you are ever over in Europe, we'd be more than happy to host you into one of our facilities. But the properties that we acquired, particularly in Romania, have fairly significant acreage. And what we've been on a journey over the last few years is to really bring more modern -- modernization to how we produce wagons. Now wagons in Europe are a lot more specialized than they are in the North American market because we share the rails more frequently with passenger transportation. But what we realized as we modernize some of our processes, is that you have more footprint than we really needed, which meant that we have more overhead than we really needed. So we embarked on the closure of the Arad facility, which was the largest facility in Romania in our second quarter. And then with economic uncertainty in Europe, we accelerated the pace of rationalizing 2 other of our smaller locations in Poland. I think that, yes, this wraps up what we think we need to do, but I think that this leadership team has shown that as opportunities present themselves or as we need to make adjustments in whatever market we are in, we will make that adjustment.
Brian Comstock: Yes. And Ken, it's Brian. Maybe just a little escalation point on what Lorie said is we really are consolidating production into fewer facilities.
Lorie Leeson: Maintaining the same amount of capacity.
Brian Comstock: Exactly. Just consolidation because we have a lot of capacity at those facilities. And as far as the journey goes, we continue to look at North America as well and what we can do to continue to bring cost out. So I'd say, while it's kind of 80-20 rule we're done, there's still always opportunity to continue to improve and rationalize further.
Ken Hoexter: Last 1 for me is you gave the full year. Anything you want to comment on first quarter outlook? I guess you ended at 4,900 deliveries. How should we think about first quarter? And with that, I thank you for your time.
Lorie Leeson: Hats off to you Ken. You don't never know if you don't ask. But no, we're not inclined to give quarterly guidance. Unless Justin or Michael, you guys want to have something you want to share.
Justin Roberts: No, I think that's fine, Lorie.
Ken Hoexter: Is there a normal seasonal move from how you end in fourth quarter to first quarter? Or does that not play just given your move to balance production?
Justin Roberts: Yes. And I'll take that one. I do think we'll see a stronger back half of the year than the beginning of the year. We're still working through our backlog, and we're still really excited about, as Brian mentioned in his prepared remarks that we're expecting the back half of the year to pick up as well. So it's probably stronger in the back half than the first half.
Lorie Leeson: And I would say we've also been reminding workforce that just because we moved from August 31 to September 1, it's not like we reset the clock. We've focus on just moving forward each day, doing the best that we can and looking to create long-term value for our shareholders.
Operator: Next question comes from Bascome Majors with Susquehanna.
Bascome Majors: I'll start out where Ken left off. I know you don't want to give quarterly guidance nor probably should you. But can we talk about maybe the build pace? I mean, I think there were some prepared remarks talking about we hope they get better in the second half of the year. I would assume that suggests some back-end loadedness but doesn't necessarily flow through to the bottom line -- the bottom line. So can we just walk through kind of maybe frame it as like where we were in 4Q? Is that the run rate into 1Q just from a pure production standpoint, and what sort of recovery are we embedding in the second half? And is that order driven?
Justin Roberts: Yes. So Bascome, good to hear from you, by the way. And I would say that we kind of -- if you think about the last 4 quarters and then what we see in the next 4 quarters ahead, you'll see kind of the first 2 quarters of fiscal '25 were higher production, but we kind of stair step down throughout the year. And we expect the Q1 and Q2 of fiscal '26 to be at similar rates as what we're -- at what we exited fiscal '25. And then we'll be ramping up in Q3 and into Q4 to kind of ideally have more state stability in fiscal '27. But it's a little more of our normal seasonal back half loading and some of that is explicitly order driven at this point, just driven by when customers need cars and some of it is driven by expectations. It's just kind of you think about longer lead time items and things that we've talked about in the past. You just have to allow a little extra time. You don't turn on light switches or reactivate or ramp up lines overnight, unfortunately. So -- and we could probably -- if there's any additional kind of detailed questions, we can handle on our call [ downs ] as well.
Bascome Majors: Yes. And just to maybe frame it up qualitatively, though, is the production plan based on the current backlog back half loaded? Or is there an assumption that orders could improve to drive that back-end loaded those primarily?
Justin Roberts: It's based on backlog orders that we're in discussions with that we expect to finalize and then a fair amount -- not a fair amount, but some improvement as we turn the year into calendar '26 just based on what customers are telling us they need.
Lorie Leeson: And I would say that we go into every single fiscal year with some open production because we actually -- that's beneficial for us to be able to be quickly responsive to customers' needs.
Brian Comstock: Yes. And just -- this is Brian, just chiming in a little bit as well on the order side. So when we think about the previous question, it was related to locomotives, keep in mind that there's a real large number of cars that continue to attrit out of the North American fleet. And we're at the lowest levels that we've been in probably 4 or 5 years from a national fleet perspective. So there still is a lot of replacement-driven demand versus growth demand, which may be different than what the locomotive people and some others are seeing in our space.
Bascome Majors: All right. And can we talk a little bit about the balance sheet and funding for the leasing business? I mean you talked about hitting your recurring revenue or being on pace for your recurring revenue target. And do you expect your investment in the lease fleet to be similar? And over the long term, I know you have a CapEx guide for this year, but over the long term, do you think that's pretty similar year-to-year? Or is there some cyclical gyrations to that? And maybe lastly, as part of that, has the secondary market maintained its stability? And do you have product to continue to support a P&L impact from that net revenue or sorry, our net sales piece of the net CapEx?
Lorie Leeson: And so maybe I'll just say something right quick, and then I know Michael and Brian will fill in behind me. But we are looking at all opportunities. We do see secondary market opportunities as well as new lease originations that can go into our lease fleet. So we have got a focused and agile leadership team that is going to be velcro to our customers to understand their needs and figure out how we can drive value.
Brian Comstock: Yes, it's Brian. I just would add that our strategy remains consistent. We have talked about adding about $300 million net each year that continues to be our plan, good steady growth. However, to Lorie's point, the secondary market is still very robust. There's a number of books in the market today that we're looking at as well as sort of others. And we have assets that we continue to trade as we rebalance portfolios and we think strategically about how we align our lease fleet long term. So we're very active in the secondary market.
Bascome Majors: And from a shaping perspective, you talked a little bit about the production plan and reasons why you think it can be stronger in the second half, both seasonality and some of the conversations you're having with your customers that you think will convert in the calendar '26. Is -- I mean you've talked about your cost takeout program in Europe and frame that as maybe one driver to margins. But beyond that, is it really just production rates and absorption that are going to be the biggest directional driver of margins? Or are there some other things going on between pricing and other inputs that we should think about on the margin cadence for the year?
Justin Roberts: As we think about, Bascome, from a cost takeout perspective, this is actually an interesting time period from an operational perspective because this is giving the manufacturing teams an opportunity to take a little bit of a deep breath and look at our -- not just our overhead costs as we've talked about in the past, with an eye for reduction, an eye for reducing inefficiencies, but also take a look at overall our production processes and take unnecessary moves out and basically take hours out, take cost out. And it's kind of a soup-to-nuts approach of how can we reimagine some of our production processes and manufacturing. And so what we're seeing is as we started this journey, as Lorie and Brian and Michael mentioned over the last few years. But this is an opportunity this year as we've got a little bit of a slower cadence in the first half to focus on some of that activity versus just trying to get cars out the door as effectively as possible. And so this is an opportunity where we're able to redeploy some of our plant engineers, our industrial mechatronic engineers and move them around to different facilities and cross-pollinate to make sure that we're sharing best practices, make sure we've got uniform designs. And all of these are really adding up to improved margins. It's not just about overhead absorption, although that always plays a key role as well.
Lorie Leeson: Which I'll then throw in a plug for why we keep thinking differently about how do we serve our markets and if it means doing what you call it, programmatic...
Brian Comstock: Yes, railcar restoration and [indiscernible].
Lorie Leeson: Programmatic railcar restoration in what would be traditionally a new car facility, that's fantastic. And it's taking -- it's utilizing capacity where we've made an investment. It absorbs overhead, and it generates good returns.
Bascome Majors: Maybe lastly for me, can you talk really high level about the competitive landscape in new car builds and order taking? I mean, has price become more difficult as the production rate of the industry has gone down to this level? Has it been pretty stable? I mean, you've been pretty clear on focused on doing the right things for your shareholders and returns on your business. But if you could just kind of talk about the back and forth between you and the remaining competitors in the space and whether that's stable or getting more competitive into this downturn?
Brian Comstock: Yes. It's a good question, Bascome. It's Brian. And at the end of the day, it's a little both. So when you look to more commoditized markets, some of your covered hopper cars and what have you, you're seeing a lot more pricing pressure on cars, I say that everybody can build versus tank cars and some of the more niche cars that we're building today. So it's a mixed bag. You're seeing good discipline on the tank side. You're seeing good discipline on other specialty type cars, which is quite a bit of the market today. But where you do see the pricing pressures on those cars that I deem more commoditized, grain cars and things like that.
Justin Roberts: And with that, we'll go ahead and end the call. Thank you very much for your time and attention. And --- Oh sorry, Lorie wants to say something.
Lorie Leeson: And I'll just say for all of our employees that are listening to the earnings call today, I want to, again, appreciate all of the work that each of you bring every day, staying safe and executing to take care of our customers, each other to generate a record year of financial performance. Thank you very much.
Justin Roberts: Thank you very much, everyone. If you have questions, please reach out to Investor Relations at gbrx.com. Have a great evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.